Operator: Hello, welcome, everyone, to the Lemonade Fourth Quarter 2024 Earnings Call. My name is Maxine, and I'll be coordinating today's call. I will now hand you over to Yael Wissner-Levy, Director of Communications at Lemonade, to begin. Yael Wissner, please go ahead.

Yael Wissner-Levy: Good morning, and welcome to Lemonade's Fourth Quarter 2024 Earnings Call. Joining us on our call today we have Daniel Schreiber, CEO and Co-Founder; Shai Wininger, President and Co-Founder; and Sean Burgess, Chief Financial Officer. A letter to shareholders covering the company's fourth quarter 2024 financial results is available on our Investor Relations website at investor.lemonade.com. Before we begin, I would like to remind you that management's remarks on this call may contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Actual results may differ materially from those indicated by these forward-looking statements as a result of various important factors, including those discussed in the Risk Factors section of our Q3 2023 Form 10-Q filed with the SEC on October 31, 2024, and our other filings with the SEC. Any forward-looking statements made on this call represent our views only as of today, and we undertake no obligation to update them. We will be referring to certain non-GAAP financial measures on today's call, including adjusted EBITDA, adjusted free cash flow, and adjusted gross profit, which we believe may be important for investors to assess our operating performance. Reconciliations of our non-GAAP financial measures to the most directly comparable GAAP financial measures are included in the letter to shareholders. Our letter to shareholders also includes information about our key performance indicators, including customers, in-force premium, premium per customer, annual dollar retention, gross earned premium, gross loss ratio, gross loss ratio ex-CAT, trailing 12-month loss ratio and net loss ratio and a definition of each metric, why each is useful to investors and how we use each to monitor and manage our business. With that, I'll turn the call over to Daniel for some opening remarks. Daniel?

Daniel Schreiber: Good morning, and thank you for joining us to discuss Lemonade's results for Q4 2024. Across the full gamut of our KPIs, the fourth quarter was comfortably our best quarter ever, rounding out a very strong 2024 itself our best year so far. Q4 saw continued accelerating growth, ending the year at 26% IFP growth, marking our fifth consecutive quarter of accelerating top-line growth, nor did our top line come at the expense of our bottom line. Vesting our own prior guidance and expectations, Q4 delivered an adjusted free cash flow of $27 million, our strongest ever. This ensured that 2024 overall was cash flow positive to the tune of $48 million, our first cash flow positive year. This is a key milestone for obvious reasons, and we are thrilled to cross it a full year ahead of expectations. Underpinning this result was our loss ratio on a TTM or Trailing Twelve Month basis, the more steady and dependable metric. We ended the year at a 73% gross loss ratio, right where we wanted to be, and 12 points improved year-over-year, powering significant margin expansion. Our results for the quarter at 63% is our best result ever and by some margin. We're pleased with this result, particularly against the backdrop of a notably active CAT year and inflationary pressures. Accelerating top-line growth and gross margin expansion is an attractive combination, yielding outstanding gross profit growth rates. Our gross profit doubled year-over-year to $167 million, again, a record high for Lemonade. Below the gross profit line, we continue to deliver considerable operating leverage with operating expenses, excluding growth spend, declining in inflation-adjusted terms in 2024 as compared to 2023. The upshot of these trends in Q4, excluding growth spend, is that we were EBITDA positive for the first time. This fact pattern reinforces our confidence, and I trust yours, too, the Lemonade's projected path to profitability. Looking ahead to 2025, we expect more of the same. We'll grow the business while scaling the operation. Our guidance for 2025 contemplates IFP growth of 28%, a sustained acceleration towards our target cruising velocity in the 30s expected next year. With our loss ratio, with now within our target range and a plan to continue delivering operational efficiencies, we expect to see sustained positive adjusted free cash flow and sequential EBITDA improvement for the full year of 2025. These are notable, particularly given our plans to ramp growth spend by approximately 40% year-over-year in addition to the expected impact from the devastating California fires. All told, while the California fires took an unbearable toll on the communities of Los Angeles, we are gratified that our people, technologies and financials all proved themselves true to the moment. To give you more color on these fires, our response to them and their impact on us, let me hand over to Shai. Shai?

Shai Wininger: Thanks, Daniel. First, let me say our hearts go out to those affected by the California wildfires. We extend our deepest sympathy to those who have suffered from this terrible event. I'm proud to report that the Lemonade team did an incredible job handling this catastrophe by helping hundreds of policyholders and their families on the ground. We used our AI platform and well-trained team to deliver unprecedented service quality, settling hundreds of claims in real-time even as the fires raged on. You'll find more detail in our shareholders' letter, including some incredible feedback from affected customers who spoke about their great Lemonade experience during a very difficult time. This event and our team's response to it, point to the efforts made to create systems that allow a seamless collaboration between humans and machines working together to care for people in their time of greatest need. It's really the essence of why Lemonade exists. I'll leave the full coverage of the impact of the California fires for the next quarter's earnings report. But what I can already say is that our cautious underwriting, product and geographic diversification and strong reinsurance programs all positioned us well for moments like these. Indeed, some of the market share base loss assumption calculations done by some investors and analysts yielded loss estimates for Lemonade well north of $200 million. That's about 5x higher than our actual experience on a gross loss basis. These events are expected to lead to approximately $20 million EBITDA impact overall. We are able to achieve this outcome due to our conservative homeowners underwriting strategy and the gradual removal of higher-risk homeowners' policies from our book. We expect to continue to see AI-driven efficiency gains this year. When excluding the impact of the California fires, our EBITDA guidance reflects approximately a 25% year-over-year improvement even as we expect our business to grow by 28%. With that, let me turn over the call to Tim to cover our financial results and guidance in more detail. Tim?

Timothy Bixby: Thanks, Shai. I'll review highlights of our Q4 results and provide our expectations for Q1 and the full year 2025, and then we'll take some questions. In short, our Q4 financial results were exemplary across the board and capped a very strong year for Lemonade. We remain very much on track with our ambitious goals for positive EBITDA by the end of next year, loss ratio tracking to target, consistently accelerating top line growth with little change in fixed overhead expenses and very favorable cash flow dynamics. Q4 brought our best ever loss ratio, helping to drive a near doubling of gross profit in 2024. In-force premium grew 26% to $944 million, while customer count increased by 20% to $2.4 million. Premium per customer increased 5% versus the prior year to $388, driven primarily by rate increases. Annual dollar retention or ADR was 86%, down one percentage point since this time last year. This slight sequential decline in year-on-year decline is not unexpected, given our efforts to reduce less profitable portions of our home book in the second half of 2024. These efforts likely dampened our ADR by about three percentage points. Gross earned premium in Q4 increased 25% as compared to the prior year to $226 million, in line with IFP growth. Revenue in Q4 increased 29% from the prior year to $149 million. The growth in revenue was driven by the increase in gross earned premium, a slightly higher effective ceding commission rate under our quota share reinsurance structure and a 32% increase in investment income. Our gross loss ratio was 63% for Q4 as compared to 77% in Q4 2023 and 73% in Q3 2024. Excluding the total impact of CAT in Q4, which was roughly one percentage point, our gross loss ratio ex-CAT was 62%. Total gross prior period development had a roughly 5% favorable impact with a negligible portion of that driven by CAT. We saw this favorable prior period development across all products with the exception of our pet product line. On a net basis, prior period development had a roughly 7% favorable impact, of which approximately 1% was from CAT. Trailing 12 months or TTM loss ratio was about 73% or 12 points better year-on-year and four points better sequentially. All of these insurance metrics and more are included in our insurance supplement that you'll find at the end of our shareholder letter. Gross profit increased 90% as compared to the prior year, driven primarily by premium growth and significant loss ratio improvement, while adjusted gross profit increased 88%, driven by premium growth and loss ratio improvement. Operating expense, excluding loss and loss adjustment expense, increased 38% to $124 million in Q4 as compared to the prior year, driven primarily by an increase in growth spend. Other insurance expense grew 35% in Q4 versus the prior year, slightly ahead of the growth of earned premium. Total sales and marketing expense increased by $23 million or 95%, primarily due to increased growth spend of approximately $23 million and a modest customer support expense increase. Total growth spend in the quarter was $36 million, more than double the $13 million in the prior quarter. Full year growth spend more than doubled in 2024 from $55 million to $122 million. We continue to utilize our synthetic agents growth funding program and have continued to finance 80% of our growth spend. As a reminder, you'll see 100% of our growth spend flow through the P&L as always, while the impact of the growth mechanism is visible on the cash flow statement and the balance sheet and the net financing to date is about $83 million as of December 31. Technology development expense was up just 3% year-on-year to $22 million, while G&A expense increased 16% as compared to the prior year to $34 million, primarily due to increasing interest expense from our financing agreements. Personnel expense and headcount control continue to be a high priority. Total headcount is down about 2% as compared to the prior year at 1,235, while the top line IFP again grew fully 26%. Net loss was $30 million in Q4 or a loss of $0.42 per share as compared to a net loss of $42 million or $0.61 per share in the prior year. Adjusted EBITDA loss was $24 million in Q4 versus an EBITDA loss of $29 million in the prior year. Our total cash, cash equivalents and investments ended the quarter at approximately $1 billion, up $42 million versus the prior quarter and up $76 million for the full year, showing a continuing positive net cash flow trend.

Timothy Bixby: With these metrics in mind, I'll outline our specific financial expectations for the first quarter and the full year 2025. From a growth spend perspective, we expect to invest roughly $35 million in Q1 to generate profitable customers with a healthy lifetime value. This amount will likely increase in both Q2 and Q3 and then may decline somewhat in Q4 to a level similar to the Q1 gross spend rate, totaling roughly $165 million for the year. This expected quarterly spend pattern is similar to what we've seen in prior years. This expected quarterly spend pattern is similar to what we've seen in prior years. For the first quarter of 2025, we expect in-force premium of between $997 million and $1 billion, gross earned premium of between $229 million and $231 million, revenue of between $143 million and $145 million and adjusted EBITDA loss of between $49 million and $46 million. This does include an approximately $20 million expected impact from the California wildfires. Without that fire impact, that guidance would be, as a result, about $20 million better. Stock-based compensation expense of approximately $18 million, capital expenditures of approximately $2 million and a weighted average share count of approximately 73 million shares. And for the full year 2025, we expect in-force premium at year-end of between $1.203 billion and $1.208 billion, gross earned premium of between $1.025 billion and $1.028 billion, revenue between $655 million and $657 million and adjusted EBITDA loss of between $140 million and $135 million. This also includes that same $20 million is expected to be a headwind from the California wildfires I mentioned in the Q1 figures. Also expect stock-based compensation expense for the full year of approximately $60 million, capital expenditures of approximately $10 million and a weighted average share count for the full year of approximately 74 million shares. And with that, I would like to hand things back over to Shai to answer some questions from our retail investors.

Shai Wininger: Thanks, Tim. We'll now turn to our shareholders' questions submitted through the Say platform. There were several questions about our car business, including our strategy to convert car customers from our wait list, expected loss ratios for new car customers, our go-to-market strategy, multiline customer rate in the future and the impact of self-driving cars on our business. Let me try to tackle all of these together. We spoke about our car strategy in great detail in November, so I would invite you to kindly check our presentations, specifically those delivered by Daniel and Maya. Car insurance is indeed of top strategic priority at the moment and is expected to be a significant growth engine in the next phase. With unparalleled telematics technology and adoption, we are at the cutting edge of precision car insurance. The essence of our growth strategy is that our best-in-class first-party data will enable us to offer unbeatable prices for the customers we want. And it is absolutely true that we possess a structural tailwind in the form of our wait list and well over 2 million active customers. We expect this will enable us to grow the car business with efficiency levels unavailable to our competitors. I do think it's important to highlight that our car product is currently only available in 8 states, and we expect to begin ramping that up considerably through 2025 and '26, something that will be needed before we can fully tap that 2 million-plus pool of customers. There are exciting early indications in experiments we are running that prove our thesis. We're seeing considerable conversion rate unlocks alongside attractive new customer lifetime loss ratios. It is early days on some of those tests, and we expect to cover these topics in more detail in upcoming quarters. As for some of the more future-oriented elements of the question, we don't see any reason why we shouldn't be able to realize best-in-class multiline customer rates in the long term. By delivering a truly delightful insurance experience, our goal is to capture maximum wallet share across our customers' insurance needs. As for self-driving cars, we are keeping a close eye on this. It's a disruption that has the potential to alter how risk is allocated in the car business. Dislocations like these create tremendous innovation opportunities for disruptors that don't have large legacy business to protect. We follow these developments with keen interest, but that's all I can say on the topic right now. Moving to the next question, we understand that growth should always come with profitability and careful capital reserves. In that light, do you see a 30% annual growth as a growth ceiling? Or could Lemonade surprise with 40% or 50% growth sometime in the future? We recently guided to an expected multiyear growth rate in the 30s beginning in 2026. That is based on what we know today. As we pursue our strategy, it is entirely possible that we may realize unlocks in our unit economics that alter the status quo that can come from multiple places, be it cross-sell, retention, marketing efficiency or other drivers. Rest assured that we love growth and we will leave no stone unturned in our pursuit of sustained acceleration. Similarly, rest assured that we will continue to do so in a long-term profitable manner. And with that, let me turn the call back to the operator for more questions from our friends from the street.

Operator: Our first question today comes from Bob Huang from Morgan Stanley.

Jian Huang: So my first question is on the auto market and also your path to profitability. Obviously, one of the things you guys talked about is that the current -- growing into a personal auto business and then obviously, that business is fairly competitive. And as you expand your business, as you mix -- more business mix shift, can you maybe talk about what is a path to GAAP net income profit going forward? And based on the guidance you provided in 2025. Can you maybe also help us contextualize how that guidance fits into an eventual GAAP net income profitability?

Shai Wininger: Sure. A couple of thoughts. So, I think the general overall path from a product mix standpoint with -- and particularly with regard to car was laid out pretty carefully at our Investor Day. We're in the process now of shifting from car as a declining business in terms of customer count, but a very stable business in terms of in-force premium to a point now where our loss ratios have come down significantly over the past year. It's not quite at our target, but it's getting awfully close. And so now over the course of 2025, we'll continue to see that shift from a somewhat declining rate of customer count and stabilized fee to a growing customer count as loss ratio continues to improve. Over the longer term, we laid out a plan where car represented something like 40% of our total book of business in our multiyear long-term plan. So still less than half the business. And at that time, it would be still a very small part of what you're correct is a competitive market. In terms of our path to profit, what we have laid out for almost three years now is unchanged. So, cash flow positive actually was changed, came in a little bit about a year ahead of our original plans in this past year, 2024. We are still on track as we have been for two-plus years to be EBITDA positive exiting 2026. That will be followed by -- we expect a continuing EBITDA positive -- I'm sorry I said 2025, 2026. So that is unchanged. And then GAAP profitability, while we haven't given an exact date because that's a little harder to project. There's a lot of nonoperating components, as you know, that come into net loss. We expect it to follow within roughly a year thereafter, and that is also unchanged. If car grows somewhat faster, we're still confident in those projections. If car grows somewhat slower, same story. The fundamental sort of truth of our business model is that our mix of product can shift a fair bit, yet it doesn't fundamentally change the cash flow dynamics and the long-term sort of capital allocation dynamics. And that's something that gives us great confidence and it is really why those projections haven't changed much at all for almost 3 years.

Jian Huang: Okay. No, I really appreciate that. So, it sounds like net GAAP income positive exiting 2027 thereabouts, give or take. So maybe on the LTV to CAC -- sorry, go ahead.

Shai Wininger: Yes, that's a fair estimate.

Jian Huang: Okay. Got it. So, my follow-up is on that business mix shift and then how you think about LTV to CAC, right? Like currently, in your shareholder letter, you're talking about a 3:1 LTV to CAC. As that business mix shifts, does your LTV assumptions change going forward? In other words, does that business mix shift will change the 3:1 LTV to CAC ratio? Or how should we think about that?

Shai Wininger: So historically, we've seen a fairly significant mix change in our business. And yet that metric has remained fairly stable. Now part of that is because we're choosing how to allocate our growth spend in the way that delivers the highest return. And over time, that gives us great flexibility to grow one product versus another, grow one region versus another or to emphasize one channel versus another. And so some of that is by our choice. We will continue to spend where that overall LTV to CAC remains in that target range. Now that -- the end customer, the last customer we're acquiring is going to be less than 3:1, and that's a good thing because it enables us to test new channels and new geographies and new approaches. But that first customer is much more valuable each quarter as we spend that. And so that 3: 1 has been quite reliable. We did see some exception a year or 1.5 years ago, where our spend rates were somewhat more subdued. They were somewhat lower and then your LTV to CAC not surprisingly increases. We saw numbers in the four and nearing five. But at our -- as we kind of get to our cruising growth rate next year of 30% annual IFP growth or better as we intend, we'll continue to sort of track to that 3:1 level. There's a lot of components, as you mentioned, that go into that. We're discounting conservatively. We factor in the expected losses, expected upsell. Our dollar retention is strong. And so, all of those are factored into our LTV calculations.

Operator: The next question comes from Jason Helfstein from Oppenheimer.

Jason Helfstein: So besides of the California fires, any development since the Analyst Day, which was quite robust as far as detail and outlook. So, any other developments worth calling out or change to the 2025 strategy? And then just two quick housekeeping. Does the disclosure on the California impact include the fare plan assessment? Or could that be incremental to what you've already disclosed? And then just can you review the timing of rate increases during '25? Do we assume they tend to be like more mid-year or evenly spread through the year?

Daniel Schreiber: Sure. So let me take a few of those in order, reverse order actually. So, rate increases, I would expect that to be somewhat smooth. So, we're nearing adequacy across -- almost across the board, but there's still rate to earn in, but I would think of that as more -- somewhat more smooth over the year. The fare plan is taken into account. Just as a reminder, everything related to California is a Q1 event. Q1 is still in our future, but we do have a lot of data at this point, obviously. And so, we've factored in everything we know about and we do know about what we expect the fair plan assessment to be. With regard to the long-term plan at Investor Day, I would kind of give you a headline that everything is exactly on track, and that's a good thing. Q4 came in really nicely. The CAC experience was sort of rounded almost to 0, and that is a good result that's somewhat better than -- or definitely better than expected. But across the board, we're just seeing nice, continued trends that we've seen through most of '24, really strong continuing growth in European customers, pet hitting on all cylinders as we spoke about, CAC IFP stable, even though there's been a customer count change there. And even our ADR in an environment where we were able to mitigate our risk in our home business, as we spoke about last year a couple of times to make sure that when something like the California virus happens that we are not immune to it, but we are conservative and protected from real downsides. Even despite all that, the ADR, as we noted, came in only one point less without those conservative efforts around home that might have been something like three points better as we noted in the letter. So really everything right on track with our detailed analysis in November.

Operator: The next question comes from Tommy McJoynt from KBW.

Thomas Mcjoynt-Griffith: You've pointed to and well communicated a sizable uplift in the growth spend in 2025 to accelerate ISP growth back towards 30%. Should we think of the level of growth spend in 2025 as likely to stay roughly the same in absolute terms in the years beyond 2025 in order to keep that cruising pace you talked about of 30% ISP growth?

Daniel Schreiber: I would expect it to continue to grow in absolute terms, but not to grow in percentage terms at the magnitude you've seen last year, '23 into '24 and '24 into '25. So in absolute terms, we will grow, but the growth rate will decline. And that's really what enables us to kind of keep all of the parts in balance as we get to that EBITDA breakeven point. When we see LTV to CAC improving or we see some positive impact, then we're able to kind of increase that growth spend proactively, and we're able to do that. We've done that in the past. But right now, that is our assumption based on what we know today.

Thomas Mcjoynt-Griffith: Got it. Is there not an ability to perhaps keep that growth spend similar and just focus on cross-selling existing products? And is there sort of zero growth spend required to fund growth that's through cross-sell?

Daniel Schreiber: Short answer is yes. I think that's absolutely true. And over time, that ability to cross-sell and upsell customers and the efficiency of doing that will increase as you go from -- we've gone from 1 million customers to 2 million, now we're heading to 3 million. That will only increase over time. Whether we would choose to keep it dead flat at zero, that's a choice we can make. But absolutely, that theme and that trend, you're right on.

Thomas Mcjoynt-Griffith: Okay. And then just last one on the growth spend side. Are you deploying -- I guess, what you're deploying this year, is it focused on growing in any one particular product line? And do you expect the car side to see an uplift this year particularly?

Daniel Schreiber: So a continued gradual shift. So I wouldn't think of it as like a break in the pattern, but a gradual shift -- the growth drivers over the past year have really been pet, number one, with car stable and renters certainly growing as well. You'll now start to see that shift where car will start to become a bigger percentage of the overall business. Europe continues to do its thing heading towards -- it used to be a couple of percentage points of the business. That's probably heading towards something like 5. Pet, though it's a small business, is growing 25% a year or more as a market. And so that's not something to be ignored. But in aggregate, the car market is the biggest, and that's where you'll see the most fundamental change over 2, 3, 4 years in particular.

Operator: The next question comes from Andrew Andersen from Jefferies.

Andrew Andersen: I heard you talk about OpEx growth and growth spend or OpEx spend. Can you maybe just expand on technology development spend? It was kind of flattish year-over-year and lower as a percentage of premium earned. But I would think as just a tech-forward company, you're still going to be spending a bit. How do you see that kind of going into '25 and '26?

Daniel Schreiber: Yes, that's a line where you see really terrific leverage. So when you think about the productivity of that team, it's growing dramatically. The amount of product and content that's coming out of what's really roughly a fixed team in terms of size and cost continues to increase every day, every week, every month. And that's a trend that we've seen for some time. If you track our headcount, that's a big part of why we've been able to see actually a decline in total headcount. That doesn't mean there's a decline in hiring. There's natural turnover that happens at a company. And so we're constantly looking for great skills and assets to bring into the business, and that's something that does not change. But if we can drive and support the kinds of automation that we're seeing now, that tech team, our current tech team has the ability to support a business that's twice as big or 5x as big without significant dollar or cost increases.

Shai Wininger: Yes. I guess I'd just add, Andrew -- sorry, just to add, we're seeing in our engineering team some things that we spoke about in our Investor Day at length with regard to some of our volume teams, which is that we have capacity working for Lemonade, but it's just not all human. So we're finding that we're able to harness AI in engineering in very powerful ways. You've seen some of the largest tech companies in the world talk about how much of their code is now being written by AI, how much velocity they're able to extract from using these technologies. So definitely, our output continues to grow even if our human headcount does not.

Andrew Andersen: And then on the auto waitlist, 700,000, I'm not too familiar with what exactly this metric is. Is that states where you plan to be actively writing in the next couple of years? Have you may be done preliminary pricing on the back end of these customers? How could we think of -- if we were to think of that as a submission number, how could we think of perhaps a quote ratio back to it?

Daniel Schreiber: Yes. We've seen a tremendous amount of pent-up demand for our car product. We kind of spoke in broad terms about how we're still holding it back a little bit. Shai referenced some of the testing that we're doing about different ways to accelerate its growth. And the early results have been nothing sort of stunning. They're very, very encouraging to us. But before we unleash rapid growth, we have to make sure that everything is solid. We've seen car growth run away from companies that haven't got all the foundations in place. We're keen to not let that happen to us, and therefore, we are being kind of restrained in that sense. So the engines are running, but we're not putting it into first year fully quite yet. There's so many car metaphors. I should hold myself back, but you get that. And so I think that during the course of this year, we'll see the results of all the different tests that we have running. As I say, kind of a sneak peek is that we've been going better and faster than we anticipated. But until that happens, until we feel that we could scale this by hundreds of millions of dollars rapidly and ultimately by billions of dollars without it causing a degradation of our underlying business. When we get to that point, you'll see us unleash it not before that. We will spend much of 2025 still tinkering in that regard. I'm hopeful that towards the end of the year, we will have passed that threshold in different places. To tie that back to your question, we are now live in about states that comprise roughly 25% of the U.S. population. That does not overlap necessarily with a 70% waitlist. In fact, it's probably underweighted because people in those states don't have to be on the waitlist. They can just buy the product. So there isn't kind of the waitlist is because and predominantly of people in states that want the product, and we haven't offered it yet. We will start to add states as we go through this year and accelerate that significantly going into 2026.

Operator: The next question comes from Katie Sakys from Autonomous Research.

Katie Sakys: I wanted to go back to the IFP guide, thinking about 28% in 2025 relative to the 30% goal rate. In the shareholder letter, you guys mentioned that you were entering 2025 with rate adequacy across the majority of the portfolio, which to me would kind of imply being in a position that you're ready to grow across the majority of the portfolio. So keeping that in context with the increase in growth spend expected in 2025, what's keeping that IFP growth rate from hitting 30% this year?

Shai Wininger: Our growth rate, as I've said over time, I believe it's still true, is really about choosing. We can grow faster or slower within a pretty tight range, depending on how much growth spend we allocate. And so our goal is to build for the short term and for the long term. And so we could potentially grow faster in the very short term. But that -- those choices might impinge our ability to grow in '26 or '27 or over the long-term plan. And so we're balancing those 2 as we allocate capital. Our growth -- our top line has accelerated every quarter for 6 quarters. Our guidance implies growth yet again to roughly 28% IFP growth year-on-year, right on track with what we highlighted at our Investor Day. That's just shy of the 30% that we said would be coming as expected in 2026 and beyond. So all systems are go. Growth for us is not something that happens to us. We really drive it. And because we want to allocate capital in the most efficient way for both the short term and the long term, and we're tracking not just for growth, we're tracking to breakeven and profitability and beyond. That's what really gives us comfort that growing 28% versus 25% or 35% is the right range at this time. If you look back at our track record over 6 quarters, you can see a very distinct consistent trend, and we expect that trend to continue.

Katie Sakys: Okay. And then maybe as a follow-up, leaning more towards the car side. I mean, we're seeing a lot of incumbents in the market invest quite a bit into growth right now. And I can understand only being in a select handful of states or only 25% of the market today. But I mean, the reality of the matter is that there's only so many cars on the road in the U.S., and whether or not Lemonade is able to acquire those customers really comes down to how quickly you guys want to push the growth pedal on the car front right now. So I'm just curious what is giving you guys the confidence that you'll be able to lean in heavily to growth in 2026 and won't be missing much of the consumer shopping behavior we might see in 2025.

Daniel Schreiber: Katie, so yes, we gave a bit of color -- a fair bit of color about this in our strategy in our November Investor Day. We are not going to compete head on with a GEICO or Progressive or State Farm on ad spend and hope to outplay them at the game that they play so very, very well. The way we win is by doing things differently, and there's 2 fundamental ways in which we differ. One is that we are not a car first insurance company. So we now have approaching 2.5 million customers, and that's growing fast, who -- most of whom need to buy car insurance and to whom we can sell car insurance with no incremental spend. And we've been testing for some months, some quarters now, all the different avenues in which to trigger that, and we're getting a continuous improvement in our ability to upsell and cross-sell car to our existing portfolio like the second element that I'll talk about in a second, this too requires fine-tuning and getting exactly right, getting the pricing exactly right and playing with the levers of conversion. We're seeing tremendous progress and perhaps in our next shareholder letter or shortly, we'll give a deep dive insight into all of the progression that we've seen in the coming -- in the past few months. But that is one avenue of growth. The second avenue of growth is going to be getting to the customers that we want at a price that the others cannot reach. And that's really about the use of telematics and squaring some pretty tricky circles in terms of how do you get to them and give them the price that they want at the moment of conversion even before they've driven you for those 30 days or so usually needed for telematics to give you a true read on their behavior. And it is here that we've been doing also a series of really interesting and very, very encouraging experiments that will allow us to unleash this growth too over time. So yes, we could just spend our way into competing headlong with the incumbents. That's not what we want to do. The reason that we're taking extra few months, extra few quarters to get the pricing, the filings, the messaging, the advertising, everything just so is that when we do unleash it, we'll be able to grow it effectively in a profitable way that doesn't -- that kind of sidesteps where the whole rest of the industry is operating. Now there may be some shopping than [indiscernible] 25. This is one of the most shopped categories in the world. So they'll be shopping this year, they'll be shopping next year, they'll be shopping every year. And we are growing car this year. Don't get me wrong, it is growing, but it is growing while we are still experimenting and finding the absolute best formulas. And when we feel greater confidence, you'll see us take off at a much faster rate, but not beforehand.

Katie Sakys: I appreciate the detail. If I could just squeeze one more in. On the $45 million gross loss from the California wildfires, how does that break down between homeowners and renters/condos policies?

Shai Wininger: Yes. So we have something on the order of 850, maybe 900 claims at this point across the 2 fires, something like 90% of the number of claims were renters claims, not unexpected. But the dominant share of the dollar impact of the claims was something on the order of 30 or so large home losses. So skewed fairly heavily towards home. In terms of the dollar amount, I would say 3/4, the majority or more was home driven. Now of course, we do have reinsurance in place that mitigated significantly those losses for most of those losses above $750,000. And so the reason the difference between our gross and net was quite significant, only a $20 million impact on the bottom line versus $45 million gross in the top. It's a pretty significant difference, and that's really driven by that reinsurance, all of the different reinsurance structures that we have in place.

Operator: Our next question comes from Matt O'Neill from FT Partners.

Matthew O'Neill: I was curious if you guys could elaborate on any changes that you've seen in the car market from the time of the Investor Day. I realize it hasn't been very long, but if there's been any areas where the cross-sell and the waitlist build has been incrementally promising or where the sort of macro backdrop has changed with respect to pricing or competition?

Daniel Schreiber: Matt, so no, in terms of the macro, there's not been any change in the last 3 months that we are aware of in particular. But internally, yes, we've seen continued progress, and I kind of intimated to this a few minutes ago as well, but on quite a few of the trials that we've been running, things are coming better, faster, more compelling than perhaps we have the confidence to indicate in Investor Day. So things are moving along at least as well as we had hoped and along several avenues, I think, slightly ahead of where we'd expected to be at this point.

Matthew O'Neill: Understood. And I think I heard in response before, though, that we should not get overly excited or build out overly aggressive growth in either in-force premium or number of card customers between now and year-end until much of the testing is really kind of completed. Is that -- that's correct, right?

Daniel Schreiber: I think that's correct. Yes, we've been giving kind of guidance to what we're doing for I guess, the last couple of years in terms of reaccelerating growth in terms of getting to cash flow positive, EBITDA positive. You can see so many of the building blocks falling into place much as we had promised. We've seen 26% growth in the outgoing year, but 98% growth in gross profit. So -- and we did encourage our investors to do as we do, which is to monitor our gross profit in preference to our IFP. The top line is wonderful, but some of the things between the top and the bottom line have been moving in even more dramatic fashion. So we've seen 100% growth defensibly in gross profit. We've seen 0% growth or even negative growth in much of our expense line, which has yielded cash flow positivity earlier than expected. But yes, we will grow our top line as well. As we said at the Investor Day, we're going to get into the 30s next year. We'll make it halfway there this year, we anticipate. And we'll update as more information comes in from our various experiments. If we make any changes, we'll, of course, update you, but that's how we see it playing out this year at the moment.

Matthew O'Neill: Excellent. And if I can just squeeze one more in. On the car improvements in the gross loss ratio to 83%, is there anything particular to call out there? And just thinking about the durability of that improvement going forward?

Daniel Schreiber: Yes, it is a pretty significant improvement, as you noted, each -- as you get closer and closer to the rates you filed, the improvements tend to get a little bit tougher. Inflation today obviously has radically improved versus a year ago or 2 years ago. That said, we are very focused on our ability to keep up with pricing needs and inflation impacts and things that are unexpected. I would say that we have a structure and a process and a level of automation today for filings compared to a year or 2 ago that is night and day. So we are ready for all eventualities in terms of things that are unexpected, but the things that are known and expected, we're seeing really nice improvement historically. And our ability to deliver a 63% best ever loss ratio is in large part because of that, what we're seeing and even the more challenging of the newer parts of the business like car or otherwise. So I'd expect continued improvement there. And if things unexpected to happen, we'll be able to keep up with it or better.

Operator: That was our final question. So this does conclude today's call. Thank you all for joining. You may now disconnect your lines.